Operator: Ladies and gentlemen, good morning, and welcome to the analyst conference call on the Fourth Quarter and Full Year 2025 results of Ahold Delhaize. Please note that this call is being webcast and recorded. During this call, Ahold Delhaize anticipates making projections and forward-looking statements. All statements other than statements of historical facts may be forward-looking statements. Forward-looking statements are subject to risks and uncertainties, other factors that are difficult to predict and that may cause our actual results to differ materially from future results expressed or implied by such forward-looking statements. Therefore, you should not place undue reliance on any of these forward-looking statements. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to JP O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead, JP.
John-Paul O'Meara: Thank you, Sharon, and good morning, everybody. I'm delighted to welcome you today to our Q4 and full year 2025 results conference call. On today's call are Frans Muller, our President and CEO; and Jolanda Poots-Bijl, our CFO. After a brief presentation, we will open the call for questions. In case you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website, aholddelhaize.com. There, we provide extra disclosures and details for your convenience. To ensure everyone has the opportunity to get their questions answered today, I ask that you initially limit yourself to 2 questions. If you have further questions, then feel free to re-enter the queue. To ensure ease of speaking, all growth rates mentioned in today's prepared remarks will be at constant exchange rates unless otherwise stated. So with that, Frans, over to you.
Frans Muller: Yes. Thank you very much, JP, and good morning, everyone. In 2025, we operated in a rapidly shifting environment, frequent and unpredictable government policies, pockets of inflation and volatility and rapid advances in AI and technology. In that context, being a consistent and trusted partner for customers, associates and all other stakeholders matters more than ever. As you will have seen in our release this morning, I'm proud to say we are delivering on our Growing Together commitments and are well positioned for what lies ahead. Our execution through the holiday season is a great example of how our growth model is coming together, allowing us to finish the year on a high. And for the full year, net sales increased 5.9%, while comparable sales, excluding gas, increased 3.2%. We delivered a healthy underlying operating margin of 4%, diluted underlying EPS growth of 7.8% as well as strong free cash flow, allowing us to increase shareholder returns. In Grocery, success is never driven by only one thing. It's a result of many details coming together and that on an everyday space. As our capabilities mature and integrate, our execution in turn is becoming more connected. The backbone of this is that the flexibility we have created in our ecosystem to deploy scaled and yet tailored solutions, the resilience of our local value propositions and brand personalities and the disciplined execution driven by aligned teams with a strong culture of ownership and accountability that underpins the Growing Together strategy. So let me unpack this a little bit more in detail with some practical examples. First, starting with the customer. Let's talk about strengthening customer value through trusted products. Across our markets, our local brands invested in price and value by lowering prices and broadening own brand assortments in key daily needs. In the U.S., we had our first full year investing towards a total of $1 billion in price investments over those 4 years. And at the same time, we strengthened our own brand assortments, adding 1,100 new products in the U.S. and 1,450 in Europe. In Europe, where own brand penetration is close to 50%, our assortments are a clear competitive advantage. Over the past year, we expanded collaboration through our AMS buying alliance, and this delivered quality improvements while also generating cost savings with a further expansion planned into 2026. These efforts are truly resonating with customers. Own brand growth continued to outperform the rest of the store with group level penetration reaching 39.8%, reflecting strong appreciation for quality, health, value and innovation. The next core block is vibrant customers experience, covering every interaction between our brands and customers in stores, online and through services. Customers increasingly expect convenience, personalization and a seamless integration across channels. In the U.S., we completed the rollout of PRISM, creating a unified digital backbone for personalization at scale, as it enhances opportunities in advertising and retail media. This enabled us to reach around 32 million customers and deliver 14 billion personalized offers in 2025. Customers are also responding positively to our shift forward towards the same-day delivery and partnerships with DoorDash and Instacart with additional partnerships planned. Together, these initiatives strengthen relevance, convenience and loyalty across channels. In addition, in 2025, we opened 220 new stores and remodeled more than 450 locations, maintaining a modern, healthy and attractive store fleet. As a result, we have strengthened our #1 or #2 positions in most of the markets where we operate. Another factor, which is unlocking compounding opportunities for us, is driving customer and business innovation, where digital, data and AI are increasingly powering both customer value and performance. Technology and AI represent a growing share of our EUR 2.7 billion in annual CapEx. We are applying these capabilities across our ecosystem, improving availability and forecasting, enabling AI-assisted customer journeys and scaling predictive and visual intelligence solutions. These investments, combined with our focus on local store-first fulfillment and a more asset-light operating model, are yielding good results. Online sales grew 12.9%, led by 22.8% growth in the U.S. Food Lion had a standout quarter with over 35% e-commerce growth and a 2% point increase in penetration. With the recent closure of 6 e-commerce fulfillment facilities, we have now completed the shift to our store-first operating model. In the Netherlands, the Albert Heijn app plays an essential role in daily lives for millions of consumers. Supported by generative AI, the app is becoming more personalized, multilingual and intuitive, making it easier for customers to plan meals, manage rewards and discover inspiration and new recipes. At bol, we continue to innovate across the end of the journey -- the end-to-end journey. AI-powered features such as Gift Finder and Spot & Shop are increasing engagement and reach. By combining rich shopper insights with impactful campaigns, bol was named the #1 retail media publisher for the second year in a row in the Netherlands. Retail media, as you know, is an increasingly important growth machine for the company. The key strength is our ability to build once and scale across brands. With one global retail media platform, we can deploy new solutions quickly across markets while tailoring execution locally. So with strong capabilities in place, growth now is more about culture rather than capability, which you can see in our people decisions. Good examples here are Margaret's move from bol to Albert Heijn or Keith brought a remit in the U.S. as a Chief Commercial and Digital Officer. Both Margaret and Keith bring deep retail media and technology expertise into grocery, also understanding the importance of developing best-in-class digital offerings and boosting capabilities across the commercial value chain through the power of AI. This reflects our belief that a win at one brand is a win for all brands and that scaling talent and capabilities is just as important as scaling technology. So let me now turn to shaping our portfolio to drive growth and excellence, where disciplined portfolio decisions and operational execution work hand-in-hand. In Europe, we welcomed Profi at the beginning of 2025, establishing a strong platform in Romania for future growth. Throughout last year, Profi opened 70 new stores, marking the start of a promising growth trajectory. At Albert Heijn, we opened 19 new stores and launched a major refresh of the Fresh Square concept in more than 500 locations, responding to growing demand for convenient, nutritious food solutions. In Belgium, we now recently completed the acquisition of Louis Delhaize, adding 303 stores and expanding our presence in convenience in 2026. As the largest food retail group on the U.S. Eastern Seaboard, we see meaningful runway in a still fragmented market. In a region where supermarket volumes declined in 2025, we delivered positive volumes by leading into price, own brands and omnichannel convenience. In the U.S., Food Lion launched 153 remodels and started construction on 93 remodels in the Greensboro market, which will be launched later this year. Stop & Shop remodeled over 30 stores, deploying an efficient use of capital, progressing on their revitalization plan. As part of this plan, Stop & Shop improved store standards, service and value perception. Price investments now cover more than 65% of the fleet, supported by stronger own brands, new marketing and in-store signage, upgraded stores and improved execution. Through the combination of these efforts, we have seen steadily improving trends in comparable sales growth, including volume growth, by the way, and in our Net Promoter Score, or NPS. Especially encouraging are the year-to-date improvements in value for money and ease of shopping, showing the holistic nature of Roger and his team revitalization efforts. Finally, let me spend a moment on healthy communities and planet because we believe the everyday choices we all make do matter. As a family of great local brands, we are ambitious about the measurable impact we can have, striving to make healthier options more accessible and affordable, supporting the natural systems that make food possible and reducing waste across our value chain. An important part of this, something we don't often talk about, is our U.S. pharmacy business, which plays a growing role in customer trust, health access and loyalty. Millions of customers use our pharmacy services, placing them amongst our most engaged shoppers with the majority of them paying primary -- with the majority of them being primary customers. With ongoing drug store closures, our pharmacies also provide an important access point for health services in their local communities. Under the Inflation Reduction Act, Medicare prices will come down for 10 high-cost drugs. From a financial perspective, Jolanda will share additional figures as part of the 2026 outlook, which for all intents and purposes is a technical change for us. More importantly, for many customers, this provides meaningful financial relief, potentially freeing up spending for other everyday needs. As we leave 2025 behind, we can be proud of the progress achieved and the strong foundation built in the first year of Growing Together. Our strategy has been pressure-tested, our capabilities are evolving and our teams are operating in a strong rhythm, which is delivering compounding results. We are carrying this momentum into 2026 with confidence in our execution, our portfolio and our ability to continue to create value for customers, associates, communities, and of course, shareholders. With that, I will now hand over to Jolanda for more detail on our financial performance and outlook.
Jolanda Poots-Bijl: Well, thank you, Frans, and good morning to everyone. Our performance underlines the resilience and flexibility of our brands to deliver also in dynamic market conditions. It's a good reflection of how we're balancing our growth investments and cost-saving strategies in the U.S. and in Europe, whilst remaining laser-focused on creating the best customer value proposition for every wallet. Our growth model is built on a simple and repeatable cycle. That cycle is anchored in the strength of our local brands, our leading omnichannel capabilities and the customer value proposition that resonates. By combining sales-led growth with disciplined cost control and thoughtful capital allocation, we can invest in price, convenience and digital while maintaining strong free cash flows and returns. So let's dive deeper into the numbers. Net sales grew 6.1% to EUR 23.5 billion in Q4 and 5.9% to EUR 92.4 billion for the full year, driven by strong comparable sales, both in the U.S. and in Europe, portfolio expansion, including Profi and continued growth in omnichannel. Q4 comparable sales were 2.5%, which includes a negative impact of 0.1 percentage points from weather and calendar shifts and a negative impact of 0.2 percentage points from the end of tobacco sales in Belgium. Online sales grew 12.9% in Q4 and 13.3% for the full year, reflecting strong momentum in online grocery across both regions. Underlying operating margin was 4.2% in Q4 and 4% for the full year. Strong U.S. performance more than offset headwinds from Serbia pricing regulation and first-time integration of Profi. Diluted underlying earnings per share was EUR 0.73 in Q4, up 11.9% and EUR 2.67 for the full year. Q4 IFRS operating income was EUR 899 million, corresponding to a 3.8% margin. IFRS results were EUR 96 million lower than underlying, mainly due to the impairment charges related to the strategic shift to a local store-first omnichannel fulfillment model in the U.S. For the full year, IFRS operating income was EUR 3.5 billion, representing a 3.8% margin. The EUR 192 million difference versus underlying was largely driven by portfolio optimization actions, including the shift to a store-first model in the U.S. and the acquisition and integration costs related to Profi. These actions reflect disciplined portfolio management aligned with our strategy. Operational excellence remains a core enabler of our Growing Together strategy. Through our family of great local brands, we leverage scale to combine sourcing power and scale tech to deliver local impact in a simpler, smarter and more seamless manner, unlocking new efficiencies through automation and innovation. In 2025, we delivered nearly EUR 1.3 billion in save for our customer savings, in line with our ambition for the year. These savings are reinvested with discipline into price, technology, store upgrades and sustainability initiatives, increasing value for customers, creating free cash flow and returns. This also includes investments in growing complementary income streams such as enhanced personalization and support services for brand partners, creating a capital-light revenue stream. With double-digit growth in 2025, we are making good progress towards complementary income of around EUR 3 billion by 2028. Let's now take a closer look at our regional performance. On Slide 21, for your convenience, we present the impacts of weather and calendar over the last quarters by region. U.S. net sales were EUR 13 billion. Comparable sales, excluding gas, increased 2.7%, driven by continued growth in online and pharmacy sales. The cycling of Hurricane Helene had a negative impact of approximately 20 basis points. Online sales growth reached an excellent 22.8% for Q4 versus last year, driven by strong performance across all our brands. The combination of our delivery speed, customer reach and extensive assortment, enabled by our strategic shift to same-day delivery and ongoing partnerships with DoorDash and Instacart, is what wins over customers. Underlying operating margin in the U.S. was 4.7%. The margin outperformance was driven by higher sales leverage, improvements to our online margins, the positive impact from a shift in category mix and lower shrink levels, which more than offset price investments and the dilutive impact from ongoing growth in pharmacy sales. Last October, we announced plans to develop a state-of-the-art DC in North Carolina. This investment adds capacity and automation in a key growth region. It improves efficiency and service levels and supports the long-term needs of our local brands, including Food Lion. And as you all know, Food Lion has been on an impressive trajectory of growth with Q4 marking the 53rd consecutive quarter of growth. In Europe, Q4 trends were in line with the prior quarter. Net sales were EUR 10.5 billion, up 11.2%, partly due to the Profi acquisition, an increase in comparable sales of 2.4% and new store openings. Comparable sales had a negative impact of 50 basis points from the cessation of tobacco sales in Belgium and calendar shifts. In Q4, online sales increased by 6.6%, driven by double-digit growth at Albert Heijn. The strength of our European brands, their ability to adapt in complex conditions and their relentless focus on cost savings allowed us to deliver an underlying operating margin of 4.1%. This was slightly better than anticipated, considering the headwinds from the sudden government decree and intervention on the limitation of prices in Serbia. Some of the brand highlights in the quarter include Albert Heijn reaching a record market share of 38.2% for the year, Delhaize Belgium completing its transformation and expanding in convenience and the CSE brands, particularly Romania, demonstrating resilience and readiness for renewed growth. At bol, Q4 capped a strong year with high single-digit growth, record Black Friday sales and 70 basis points of market share gains as the brand successfully countered increased competition from Amazon and Chinese players. Full year underlying EBITDA increased to EUR 207 million, driven by advertising growth and cost discipline. Moving now to cash flow. Free cash flow was EUR 1.5 billion in Q4 and EUR 2.6 billion for the full year. This exceeded our guidance for the year and is in part a reflection of the strong holiday period and solid Q4 performance. Additionally, our gross CapEx spend was lower than our original guidance for the year due to the timing of new store openings as well as the finalization of our project plans around the construction of the new Food Lion distribution center. Given the overall performance, I'm pleased to announce our proposal to increase the dividend for 2025 by 6% to EUR 1.24 per share. This reflects our stated ambition to sustainably grow dividend per share and generate strong shareholder returns. To that end, we also initiated a EUR 1 billion share buyback program for 2026 earlier this year. Finally, let me add some insights to Frans's comments on our healthy community and planet priorities. Through our trusted products, we are making healthier and more sustainable choices easier and more affordable. We do this by improving nutritional value, increasing transparency and using data and insights to guide customer choices. In 2025, the percentage of own brand healthy food sales was 52.1%. Like-for-like, we improved with 40 basis points compared to 2024 as our CSE region implemented the Nutri-Score methodology changes in 2025. Our total tons of food waste per food sales decreased 39.1% versus the 2016 baseline. This is a 4.4 percentage point improvement versus 2024, driven by smart sourcing, better inventory management and more donations. CO2 emissions in our own operations decreased 39.1% versus our 2018 baseline, which is an improvement of 3.4% versus last year, mainly driven by the installation of more sustainable refrigeration systems. Virgin plastic in our own brand packaging decreased 10.9% versus 2021, which is an improvement of 0.8 percentage points versus last year as our brands were able to increase the percentage of recycled content in our own brand product packaging. This progress reflects a true company-wide effort and something that deeply matters to our people. It is embedded in how we operate and is why healthy communities and planet remains a key priority for us. Now, turning to our guidance for 2026. First, a few specific items to reflect in your 2026 models. The Inflation Reduction Act will reduce U.S. pharmacy sales by approximately $350 million with no impact on underlying profit. The Delfood acquisition is adding over $200 million in European sales. And 2026 includes a 53rd week, which is expected to add 1.5% to 2% to net sales and 2% to 3% to underlying net income from continuing operations with no significant impact on operating margin. Our outlook reflects a disciplined approach to maximizing returns while maintaining flexibility. We expect an underlying operating margin of around 4% with limited downside expected given our strong operating momentum and the good start of the year. Mid- to high single-digit EPS growth at constant rates, a free cash flow of at least EUR 2.3 billion and a gross CapEx of approximately EUR 2.7 billion. While we do not provide quarterly guidance, some phasing effects should be expected during the year, as we flow investments in line with real-time trading conditions, allowing us to stay sharp, calibrate actions iteratively as new learnings emerge and remain flexible to market developments, including macroeconomic and geopolitical uncertainties such as Serbia. For 2026, you can, therefore, expect a persistent focus on value for customers, continued growth of our brands, disciplined investment in stores, logistics and digital and a relentless focus on cost and cash flow. This is how we operate, consistent, disciplined and delivering compounding results. And with that, I will hand back to Frans for closing remarks.
Frans Muller: Thank you very much, Jolanda. As you have heard, and as you have seen, our Growing Together strategy is now fully in motion. The focus ahead is simple, doing more, even better. We have spoken today about many of our capabilities, but in an industry like ours, one of the most powerful and often underestimated is thriving people being connected to their communities. The partnerships between our brands and the communities they serve is as important an asset as scale or technology or algorithms. This proximity to our customers, listening carefully, learning continuously and adapting quickly to what matters most in their daily lives is, therefore, the real oil that makes the ecosystem run smoothly. Therefore, also a big compliment to our teams for a remarkable result in 2025. Behind that, everything we do is within the framework of a clear operating reality. We remain laser-focused on cost, disciplined in how we allocate capital and deliberate in sequencing investment so that growth is funded, repeatable and resilient. This is how we create value every day for customers, associates, communities and shareholders and why we enter 2026 with confidence. With that, thank you for your attention. And Sharon, please open the lines for questions.
Operator: [Operator Instructions] And our first question today comes from the line of Frederick Wild from Jefferies.
Frederick Wild: So the first one is, would you be able to help us understand the competitive and consumer environment at the moment in the U.S. and your outlook there for 2026, including things like food inflation? And how you expect volumes to develop? Secondly, you mentioned, Jolanda, a cadence throughout the year. Given what's happening in Serbia, given maybe some of the U.S. pressures we're seeing at the moment, can we take those comments to mean that you're expecting a -- the year to sort of sequentially improve as we go through it?
Frans Muller: Thank you, Frederick, for your questions. On the consumer sentiment in the U.S., if you read the newspapers that people think, hey, it is a weaker sentiment than we had seen before. We also saw here and there reports of negative volumes in the U.S. in the market in itself. If you look at our numbers, we came out the 2025 year with positive volumes in the U.S. with flat volumes in 2025, the fourth quarter. And I think this is also caused by the fact that we have very strong market positions, #1 and 2 positions in the U.S. that we are very connected to our communities, that we have a very good proposition, that we invested online technology and in our stores. So I think we are competing quite strongly. On inflation, we see in food at home Northeast inflation of 2.2% at the moment. And if you ask my prediction, which is not so easy, then I think we see a flat inflation, 2.2%, going forward in the 2026 year. That's how we calculate this. So that's a little bit on inflation. That is on consumer sentiment. And when people talk about consumer sentiment, sometimes we forget 2 things that we are in a food business. So we are not in a discretionary type of business, that we have a very strong brands, #1 and #2 position, 90% of our sales and that we -- and I tried to convey this in my note that we have very strong community connections. And the element of trust is super important, and that's what we earned over the years, and that's only strengthened during COVID. And that's, I think, what we also benefit from now, plus our price investments, a EUR 1 billion price investment over 4 years in the U.S., our strengthening and growing own brand share. So I think we have a good proposition here to support the customer journeys, not only physically, but also online and also through AI and technology. Jolanda?
Jolanda Poots-Bijl: Yes. And thank you for your question. Yes, the cadence, as we guided in our storyline just now, we are confident. We started the year well, and we have given a guidance of around 4%. That cadence is something that we don't want to dive into. Europe and U.S. might have different cadences for us started. And we want to allow ourselves the flexibility to invest where we see an opportunity and do that in the perfect cadence to create value for our customers, but also for our shareholders, of course.
Frans Muller: And we are in a growth strategy together?
Jolanda Poots-Bijl: Yes, that's why we're heading forward fast.
Frans Muller: We are going to grow the business.
Jolanda Poots-Bijl: And that's what we're investing in.
Operator: We will now go to the next question, and your next question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Maybe just a big picture one. Just trying to understand how you approach margins on a group level because you consistently talk and communicate and guide on a group margin level. Is that how you run internally as well as in -- if you expect some weakness, let's say, in Europe, you try and compensate for it in the U.S., obviously, within limitations of what you can do on pricing and cost. Does that explain probably a much stronger-than-expected U.S. margin in Q4? That's the first question. Secondly, Frans, it would be amazing if we could dive a little bit into where are in...
Frans Muller: Sreedhar, could you speak up a little bit, Sreedhar? Could you speak a little bit louder? Because it's a little bit difficult to understand and...
Jolanda Poots-Bijl: Sreedhar, my ears are less strong than Frans' ears, so I need...
Frans Muller: Speak up a little bit.
Sreedhar Mahamkali: Sorry, sorry. Yes. Of course, yes. I'll just repeat. Just a real question. First one on how you approach group margin because you consistently guide on a group margin. Internally, do you actually manage it as such as in when you see potential weakness in one part of the business, you try and lean into another to deliver the group margin consistently. So that's the first question. Second one is just in terms of where we are on the Stop & Shop reinvestment, price investment and how close to completion are we now given Stop & Shop seems to be progressing in terms of a recovery. So if you can just talk through a little bit more on the reshaping of Stop & Shop offer and where we are in the journey, that would be very helpful.
Jolanda Poots-Bijl: Thank you, Sreedhar, and thank you for helping us out here. So your question, I'll take the first one on group margin, our business is local, and we optimize our businesses on that local opportunities and challenges that we have. So we're not balancing out in the portfolio as such. We're managing the optimum business by business and back end, and that's the strength of our model. We try to combine our scale to support those businesses locally. So I think that, in short, answers your question.
Frans Muller: Yes. And I think also, Sreedhar, we would like to stay as competitive as we can be on brand level for the U.S., for example, on country level or brands in Europe or in the Benelux. I think that's our promise to customers, our commitments to make sure that we have the local proposition as strong as possible. And then, yes, in the mix, we see the results, of course. At the same time, to stay competitive, we invest a lot in prices. And of course, you know that we have a very strong cost saving program, which Jolanda already talked to. And that plan, we also manage very strictly, too. So I think that's where we get the funding to support locally. It's a local business, Sreedhar. It's -- you can't say, well, we take more money in one brand to subsidize another one. That's not how retail is working for us on Stop & Shop.
Sreedhar Mahamkali: Maybe very briefly just on that point, U.S. margin was clearly stronger than most of us were expecting. Was it ahead of your expectation? Because you clearly guided to stable margin...
Frans Muller: [indiscernible].
Jolanda Poots-Bijl: Yes. Sreedhar, to be totally transparent, it was above our original plans. And as it is in grocery, you know it as much as we do, it's lots of small things. And if they all come together a little bit more positive than you expect, then you can outperform. And let me mention just a few of them. If you look at our product mix, we sold more fresh than center store. Yes, that's a little support to that margin. We saw that vendor allowances were a little bit more positive. Our online profitability is improving. So it's many small elements all coming together, having small impact as such, but then together, you outperform. So yes.
Frans Muller: And a strong holiday season.
Jolanda Poots-Bijl: A strong ending of the year. So sales flow-through was -- it was all those elements. Yes.
Frans Muller: Thanksgiving, great. Christmas, great. Diwali, also great, by the way. So we had a strong holiday season. And that -- and shrink numbers also went down because if we have high sales, then also shrink numbers come down as well. So a lot of things in the right direction. So, well, I'm not surprised because we have a strong team there, but I think it was stronger than we would initially have expected.
Jolanda Poots-Bijl: Yes.
Frans Muller: Finally, then we come to the -- before you mix in another question, Sreedhar, we now go to -- it's a good question. We now go to Stop & Shop. So Stop & Shop, we invested in prices as we promised ourselves and our customers. And in 2025, we were in 65% of our sales, 65% of our sales. We did -- we made our price investments. This will go in 2026 up to roughly 80%. So we make additional funding available for our price investments. At the same time, Roger and his team, first of all, a very dedicated, enthusiastic, energetic and a new -- and partly new team, they made quite some changes. They are now very focused on execution. Availability of product is much better. Labor costs are better under control, better service for customers in stores, better mentality. And we see also now that with the relief of the 32 stores we closed, we have now a much better store set for Stop & Shop as well. Also, Stop & Shop, as you might know, has a very high online penetration of around 11%. So also there, the omnichannel is very strong. We see NPS going up for Stop & Shop. We see price perception within the NPS also getting better. They enjoy the higher penetration of our private brand products as well for Stop & Shop. So a number of things are going in the right direction. And at the same time, we also remodeled 30 more stores for Stop & Shop with a different type of frame. So Stop & Shop also, there good momentum. And you have heard me and Jolanda earlier, a good momentum is great, but we will have to see this a few quarters more before we completely embark on this journey. But also there are compliments to Roger and his team, what happened is, yes, there's a new wind -- a positive wind blowing at Stop & Shop for not only the associates, but also for our customers.
John-Paul O'Meara: Let's try to not Sreedhar's lead on that one, at least, that's 3 for the price of 2.
Operator: We will now go to the next question. And your next question comes from the line of William Woods from Bernstein.
William Woods: Obviously, there's been kind of clear debate over the U.S. margin trajectory over the last couple of years, and you showed good results today. When you look over the next year, how does your strategy change in the U.S. as you go into the second and the third year of the strategy? And do you think we're at the trough of the U.S. margin today?
Jolanda Poots-Bijl: William, for that question, it might sound a bit boring, but I think I explained earlier, boring for me is a new exciting. We continue on the journey that we shared with the markets when we launched our Growing Together strategy. I think, in our business, it's important to get in a good rhythm in the cadence and then deliver on that cadence. So no big changes expected in the new year. It's fighting to support our customers every day with the best prices possible, continuing with those price investments that we announced, opening up more stores, doing the remodels, driving growth and sharpening our competitive position. So no spectacular changes. It's continuing what we embarked on.
Frans Muller: Jolanda mentioned earlier, William, the EUR 2.7 billion CapEx in our total company. A growing part of this is going into technology, AI and these kind of elements. That is also counting for our U.S. business, of course. So with -- when we see digital AI, both in the efficiency part and the forecasting part, but also in the consumer-facing part, we do a better and better job, loyalty, personalization and these kind of things. So we should not forget that, that also that positive trend of growing more into technology investments is also still continuing as well.
Jolanda Poots-Bijl: Maybe last, but not least, because we just delivered the EUR 1.3 billion on save for our customers. The next round is already, of course, heavily in because we have another target of EUR 1.25 billion also for this year. So it's also that relentless focus on, exactly what Frans says, using AI, automation, looking for ways to drive our cost down because year-on-year, of course, it's getting a little bit tougher to realize those targets. So we're obviously also heavily into making sure that we drive those cost savings because that's one of the pillars of our success going forward.
Operator: Your next question today comes from the line of Rob Joyce from BNP Paribas.
Robert Joyce: Apologies. Yes, maybe I was on mute. Sorry about that. And so the first one is just the investor event a couple of years ago, you talked about high single-digit percentage EPS growth as an algorithm. If we look at '26, I guess, ex the 53rd week, we're probably not quite getting there. Just wondering what the headwinds are you see in 2026 to that and whether that high single-digit percentage EPS growth is still the right growth rate to think about for the medium term? And second one, sort of follows on from that, I guess, is just if we look at the U.S., I mean, outside of potential consumer weakness, we've got SNAP cuts, GLP-1s more readily available, Walmart taking share, Amazon gaining more traction with its online grocery business. I mean, why would we not expect the U.S. to slow down on the top line meaningfully in 2026?
Jolanda Poots-Bijl: Well, thank you, Rob, for that question. So first of all, our Growing Together commitments was high single-digit growth on EPS over the 4-year period, and we stick to that commitment. If you look at our 2026 guidance based on the 53 weeks that we have in that year, we guide on a mid- to high single-digit growth again. You are right, if you take out the impact of the 53rd week, of course, EPS is impacted. Two elements to keep in the back of your head. There is the Serbian impact. Serbia used to be a profitable business, guiding well in our European average margins. It's now a loss-making business. So that is included in our guidance, and we're also fighting to repair that issue, one could say. So Serbia has an impact. And also don't forget, the 53rd week, it is money that will be banked, and it is part of that 4-year trajectory of growing together.
Frans Muller: On your second question, Rob, yes, it's pretty competitive out there in the U.S., and that's what this business also -- makes it also exciting. But we are used to this already for a longer time. This is not a new phenomenon in itself. The elements I just would like to stipulate here is that we have a business which is now better positioned than before for growth. We have a better supply chain. We have a stronger own brand offer. We are investing in pricing, and we will invest more in pricing, the EUR 1 billion in 4 years you have heard. We are growing our total Food Lion network, not only by stores, and we will open more stores for Food Lion, that is also a new trajectory, but we also keep remodeling our existing fleet. And where there are opportunities for Food Lion to dense up, let's say, the footprint by potential acquisitions, then we also will look at this. Technology and mechanization will help us to reducing cost or get a better customer journeys. So -- and we talked about it earlier when one of the largest competitors in the U.S. is gaining share in the Carolinas, that does not mean that we lose. We win share with Food Lion in the markets where we operate, those states in the southern part of the Eastern Seaboard. And that is because we are connected to our customers. We are very local. We have very good networks, and we have great people. And I think that is not changing. I also heard that a marketplace player is also closing a few stores in the fresh areas, which is also telling us this is competitive and food retail with the margins we make is not easy. And that's why I think also experience and good people kick in as well. So competitive, yes. Are we able to compete? Absolutely. We think that we also gained market share in the fourth quarter in the U.S. And with positive volumes, I think we have, yes, a good start for 2026 also when we look at the first period of the year. So competitive, but we're in a fighting spirit and the teams are really -- yes, very geared up for the journey.
Robert Joyce: Okay. So you think you're well positioned to keep taking share, Frans, it sounds like.
Frans Muller: We'll come back to you quarter-by-quarter. Rob, don't jinx it now, but that is a...
Jolanda Poots-Bijl: It's our ambition...
Frans Muller: No, we have a growth strategy, and you know that our growth strategy means 2 things, means volume growth and market share growth. And that is for every brand individually the task, and that's how we construe our plans. And then, we have to see how that works out and how strong we really are.
Operator: Our next question today comes from the line of Fernand de Boer from Degroof Petercam.
Fernand de Boer: Two questions from my side. One is about actually on Europe. If you look at last year, '25, you had, of course, the dilution of the acquisition of Profi, you had Serbia, that's now most in the base. So what should probably a bit hold you from higher margins in Europe in '26? And then, the second one is on Albert Heijn. You are now at 38% market share. I think competitors are trying to move. How do you look at that going forward?
Jolanda Poots-Bijl: Thank you for that question. I'll take the first one, and Frans will take the Albert Heijn question. We have the first year integration of Profi, and indeed, we are now positioned for growth in Profi. So we envision to open up more stores and drive growth there. And we will get some of those first synergies kicking in. We expect Profi will take around 2 to 3 years to land at the European average margin. So I would not say we're there yet. We are on a journey, and we look forward to that. Serbia, of course, is an impact that was only slightly in last year because it started -- the decrease started September 1. So that is, for sure, a difference versus last year.
Frans Muller: And then Fernand, on Albert Heijn, yes, this is a very impressive market share. You round it down to 38%, but it's a very impressive market share. But this comes with 0 arrogance in the marketplace. So the teams have designed their commercial plans for 2026. We might see a few brands in the Dutch market, which have the intention to bounce back. We had an almost 12% growth of our online in Q4 for Albert Heijn. And we also would like to make sure that we stay growing online as well, double digit for Albert Heijn. We look at strengthening our journeys and our portfolios. We have 1,900 organic products, where we are absolutely the leader in differentiation, same for convenience, same for meal solutions. So the creativity is there with the team. Online will be an important component to grow, and I think that means also if you look at price investments, and we know the price favorites where we with 2,000 items have the best offer in the market that will also continue that focus that we make that promise work as well. So Albert Heijn, you talk about the Netherlands, but Albert Heijn is also doing a great job, by the way, in Belgium. Also there, we had a very strong result over the year and also big plans to grow our business there as well. So in short, keep very focused on the omnichannel proposition, 0 arrogance, use the innovation you have in your team to build better products, better private label, which is well over 50% share now at Albert Heijn and work strongly on your cost as well because also there, price investments have to be invested also through cost savings. And that is for Albert Heijn, not different than for anybody else.
Fernand de Boer: Maybe one last question on working capital. How far further can you stretch your accounts payable?
Jolanda Poots-Bijl: Sorry, the mic went off. I don't know what Frans was doing. A strong year-end sales, of course, means that your inventories are temporarily a bit lower and your accounts payable are a bit higher. So that's also a timing impact of one could say, backloaded sales or a good year ending. We're not expecting to stretch our accounts payable any further. We're just dealing with it as we should be as a good partner in crime also for our suppliers.
Fernand de Boer: And the 53rd week, does it have impact on your working capital?
Jolanda Poots-Bijl: It will have a bit of an impact, of course. But what we will do, as we will -- as we always do, we will disclose any impact of that last week in our communication to the market in a very transparent way.
Frans Muller: Like you did already for sales effect and total net margin.
Jolanda Poots-Bijl: Yes. And also in the reporting, we will make sure that the impacts are very clear.
Operator: We will now go to the next question, and the next question comes from the line of Xavier Le Mene from Bank of America Securities.
Xavier Le Mené: Two, if I may then. You mentioned that AI you do and other technology are reshaping the way you are operating. So you mentioned a few examples, but can you potentially elaborate a bit more and give us a bit of color about the type of productivity gains you can expect? And potentially, an indication of the scale, so magnitude of gain you can get there. So even what is the contribution to cost savings potentially? The second question would be on online. You mentioned it's profitable for the first time in 2025. Should we think about online being a potential driver for margin expansion going forward? And what are your expectation for 2026 and beyond?
Frans Muller: Thank you, Xavier. On the question of AI, and AI is, of course, an interesting subject as if this is just new to us. I mean, we're working over many years on AI solutions, if it's robotization, if it's our financial processes, if it is making predictions for our demand, looking at our apps for consumer-facing. And we have now a lot of new features as well. So there will be a lot of AI and opportunities in mechanization. We do a lot of things on recipes and even more creative solutions for customers. You saw what we -- when we talked about Spot & Shop, make a picture of the lamp or the pair of shoes with your neighbors you like more, and you make a picture, load it in the app for bol and you get a suggestion where you can buy these kind of things. So we have a lot of back-end solutions, robotics, mechanization, forecasting, marking down to avoid food waste. We talked about it earlier. But more and more, we get even more consumer-facing opportunities with visual search and all these kind of things with AI is giving us. So a lot of things happening there. The other thing is that you might have noticed that we also got a new Chief Technology Officer on board with Jan Brecht. And Jan Brecht is working very closely, of course, with IT and digital and tech teams. And I just came in here, I just bumped in a room today in the meeting room, where they were talking about our group focus area, work group on AI, where we also bring Americans and Europeans and central people together to see, hey, what can we learn from each other, and we're going to learn a lot from the U.S. as well. What can we learn from each other to make even those propositions more standardized, in the end cheaper in serialization and to scale it up. So a lot more to come. And I think we will talk every quarter about the new features like we did today as well.
Jolanda Poots-Bijl: On your second question, and thank you for that, online profitability margin going forward. We look at online in a holistic way. So we're not separating it anymore. Of course, we have those numbers, but we don't separate it in as, okay, it's margin dilutive, and how do we balance that out in the portfolio? We drive growth. Online is a core driver of that growth. And from a holistic and more strategic point of view, having those online customers, which creates indeed growth, it also gives us access into people's daily lives. We can design personal assistance that going forward will give us strategic opportunities, gives us data. We can do the personalization. So there are many elements for us that are so much more important than just an online business and the dilution. We indeed communicated half 2025 that we are now online profitable in the group. That profitability is increasing and improving. So going forward, we double down on online also, as Frans stated, for example, for Albert Heijn. We find ways to improve our profitability even further. And we're quite confident that as a part of our overall strategy, this will benefit our customers, our company and also providing the returns to our shareholders that you could expect to have from us from a holistic point of view.
Operator: We will now take our final question for today. And the final question comes from the line of Francois Digard from Kepler Cheuvreux.
François Digard: Could you elaborate on the online sales growth in the U.S. in '25 and specifically in Q4? I would appreciate the deep dive if you could help us to understand the main drivers behind this performance. And how sustainable do you believe this growth is? Notably how -- I would be interested to know how you share the value with your Click & Collect partners in this business.
Frans Muller: Thank you, Francois. [Foreign Language]. 23% growth in the fourth quarter is, of course, magnificent, 35% for Food Lion. And you could argue that it's a little bit from a lower base in itself, but it's still amazing. Penetration getting over 9% now. Stop & Shop historically already in very high participation, but also growing there to over 11%, so a very positive penetration growth in all the brands we operate. We operate very different than before. As you know, we are now having our Click & Collect options powered by PRISM, owned -- well -- own-developed software, which is giving us, yes, first of all, efficiency, picking efficiency, but also a much better customer connect and a much better customer journey in that online Click & Collect, let's say, part of our proposition. We also partner with DoorDash and Instacart. That is going very well. We might address that we might find another strong partnership, too, which is going to fuel extra growth, so we talk about online a lot. The teams are so convinced that omnichannel is the name of the game. Those customers are more loyal, store and online connected. Jolanda already mentioned that we also got a fully allocated profitable and even more profitable. That's also good news. And of course, online and these kind of things are more linked to AI efficiencies, but also more linked to retail media at the same time. And therefore, that online growth is also for us a very important element of having a better deal, having a better proposition for our customer base.
Jolanda Poots-Bijl: Maybe adding to that, Frans, I mean, if you look at what is driving our growth next to all the points that you mentioned, if you compare it with some of the competitors in the market, you have access to a very large assortment on our PRISM portal. So that assortment and the breadth of it, I think, helps, and it's fast. So we have a delivery time of 3 hours, which compared to some of those other also huge players, that's high speed. So speed and assortment probably also helps to win customers over.
Frans Muller: Yes. And if you're in Brooklyn with your Eastern European assortment, then you pick your online order in that store, your store and your assortment. So it's store-specific. It's a unique PRISM proposition. And I think that's also different than a few of those, let's say, more centralized online things. Also there, we are local. Also there, we give our customers their local store in the mobile phone.
François Digard: And how sustainable you see these trends because 20% is just replenishing?
Frans Muller: Yes. For the full year, it was 18%...
Jolanda Poots-Bijl: Which is also quite high.
Frans Muller: Which is also quite high. So double-digit growth is for us important. I think I would leave it there. I mean -- and as I mentioned, 35% for Food Lion, but they have to catch up a little bit because they were at a lower penetration. So they will grow faster, I think, but double-digit growth is our plan.
John-Paul O'Meara: So thank you, Francois, and thank you, everyone, for joining us on the call today. Thank you, too, Sharon. We'll be out on the road as usual tomorrow and over the next 7 or 8 weeks. So happy to catch up with you. And if we didn't get your question today, we'll gladly give you a call now after the call. But thank you for your attendance.
Jolanda Poots-Bijl: Thank you indeed, and see you next time.
Frans Muller: See you next time. Thank you, JP, as well for the preparations.